Operator: Thank you for standing by, and welcome to the Mesa Airlines 1Q Investor Conference Call. This call is being recorded. If you have any objections, you may disconnect at this time. All participants are in a listen-only mode until the question-and-answer session. [Operator Instructions] I would now like to turn the call over to your host Chairman and CEO, Jonathan Ornstein. Thank you, Chairman. You may begin.
Jonathan Ornstein: Thank you, operator, and thank you everybody for joining us this afternoon. This is Jonathan Ornstein. I'm the Chairman and Chief Executive Officer of Mesa Airlines. On the call with me today is, Mike Lotz, our President and Chief Financial Officer; Brian Gillman, our Executive VP and General Counsel; and Brad Rich, our Chief Operating Officer. I'd like to open up with our forward-looking statements, before the presentation and comments begin, Mesa would like to remind you that our press release comments made on the conference call and responses to your questions during this call may include forward-looking statements, as defined under the Private Securities Litigation Reform Act of 1995. As such they are subject to future events and uncertainties that could also reflect our results to differ materially from those statements. Also please note, the company undertakes no obligation and makes no commitment to update or revise these forward-looking statements. Any forward-looking statements should be considered in conjunction with the cautionary statements in our press release and the risk factors, included in our filings with the SEC, which Mesa encourages you to read. In addition please refer to our press release in the Investors section of the Mesa Airlines' website find additional disclosure and reconciliations of non-GAAP financial measures that will be used on today's call. Okay. Now that, we have that out of the way, I'd like to start the call as usual way with a big thanks to all of our people in the field. And despite the obvious risk continue to exhibit incredible bravery and dedication and the service to our passengers. That dedication is in the face of a deadly pandemic, I believe is nothing short of outstanding. I'd like to thank each of our pilots flight attendants, mechanics operations, control personnel and all the other frontline employees. While we remain cautious our view is tempered with some optimism as we are starting to see some glimmers of improvement, primarily tied to vaccine distribution which we believe is key to the recovery of the industry. I'd also like to take a moment just to -- while we're all concerned about our daily lives and being at home and some of the things that have changed just to take a moment to think about the many people -- thousands of people who've lost their lives in this terrible pandemic. We have a number of highlights this quarter as mentioned in our press release. We are delighted to report a net profit and positive cash flow. For our partner flying, we signed a five-year extension with American Airlines for 40 aircraft. We launched cargo operations for DHL with two 737-400 freighter aircraft and we placed 12 new Embraer 175 aircraft into service with the United Airlines. We also received $195 million loan under the CARES Act program, and we chose not to furlough any employees despite the expiration of the Payroll Support Program. Our operational performance shows a significant improvement even with the additional fly this quarter. Despite the challenges in the industry, we continue to move forward and look for new areas of growth. One area which I already highlighted is our recently launched cargo partnership with DHL. Mesa is the first and only regional airline to begin cargo operations with narrow-body aircraft and we will continue to pursue dedicated cargo opportunities. I'd like to take a second to talk about something special that occurred in the quarter. I believe this is a real example of what Mesa Airlines is all about. Following the expiration of the CARES Act, we approached our pilots about a temporary pay cut to avoid furloughs. Within literally only a few weeks we came to an agreement and avoided furloughs when the PSP ended on September 30. Two months into the quarter it became apparent to us that the company would operate profitably. And as a result we informed ALPA that we intended to repay the pilots for the wages they had voluntarily given up. In addition, other work groups have taken pay reductions or in voluntarily time off all of which were restored back to previous levels. I'd like to thank all of our employees for their cooperation offers of assistance in these difficult times and are thankful that our financial performance enabled us to do what we were able to do. We believe that the support we received from our employees has been a critical aspect of our success and will remain so going forward. Our primary focus however remains with our existing partners and opportunities to expand and grow our overall business with them. We believe that our industry-leading cost structure and operational excellence positioned us well in this environment, especially as the industry continues to consolidate. I'd like to turn things over to Brad Rich, our Chief Operating Officer to give you an update on the level of our operations as well as American United and DHL. Brad?
Brad Rich: Thank you, Jonathan. First off, I'd like to mention some of our top operational priorities. It probably goes without saying that our highest priority at this time are the health and wellness of our people and our passengers. We continue to be in very close contact with our major partners following their guidance and their protocols as well as the information received regularly from the CDC. Next, we remain very focused on continuing to improve our operational performance and finally strengthening our relationships and working collaboratively with our partners. We do believe that consistent operational performance and industry-leading economics are the most effective way to develop and maintain long-term relationships with our partners. By way of review for the December quarter, we generated 69,247 block hours which was down 40% from last year. Based on current guidance for our partners, we expect the March quarter production to be at about 70% of pre-COVID levels and roughly 75% to 80% for the June quarter. We do anticipate a gradual increase in block hours throughout the year as outlined in our press release. As far as operational performance, we continue to see improvements in our key operational performance metrics. During the December quarter, our controllable completion factor was 99.9% compared to 99.8% a year ago and our controllable on-time departures was 91.1% compared to 81.3% a year ago. Focus on continual improvement in operational performance will remain one of our highest priorities. I'd now like to provide an update on our American operation. First of all, we're very pleased with our improving and strengthening relationship with American Airlines as evidenced by the previously announced 5-year extension that was finalized in the December quarter. Additionally, we formalized an agreement with American to add five additional CRJ aircraft above our CPA levels in late December and we believe there may be additional opportunities. Our current fleet as many of you know consists of 64 CRJ-900s. We own 48 and 41 of those are financed under our previously announced US treasury loans. The remaining seven aircraft are financed with Export Development Canada or EDC. We also have 15 aircraft leased through 2024. We will be using the majority of these aircraft to support the American operation. However, we are reviewing several new opportunities that would productively utilize some of these aircraft. Given the attractive financings and the low debt balance on the majority of the fleet, we believe these aircraft are valuable assets and will remain productive. We have completed our first month of operation under the new American CPA and we are seeing some of the best performance since the beginning of the American relationship. We remain confident in our ability to meet the operational requirements of the new agreement. Now moving to an update of our United operation. Our relationship with United remains strong and productive. We are working together on many strategic and operational initiatives that we feel will create additional value in our relationship. We're proud to be one of very few airlines taking delivery of new aircraft in today's difficult environment. As mentioned previously, we now have 16 new E-175 LR aircraft that were all placed into service between November of 2020 and February of 2021. The last four aircraft will be delivered by the end of June of 2021. As we add these aircraft to the United fleet, we are removing our CRJ-700s on a one-for-one basis. These aircraft will be leased to GoJet airlines for a nine-year term that was previously announced as a seven-year term. We are retraining most of the current CRJ-700 pilots in Washington Dulles on the E-175. And most of that training expense will be covered by the training credits that are part of the E-175 purchase agreement. Within the next six months, we will be operating a single fleet of 80 E-175s with United, which we believe will enhance operational performance and improve our cost efficiencies. In fact, we are already seeing significantly improved operational results. Finally, in regards to our cargo operations, as previously mentioned, we have two 737-400 cargo aircraft in service with DHL. Both aircraft are based in Cincinnati, where we have a pilot domicile and a maintenance base. So far we have been pleased with the operation and believe we are well positioned to grow this line of business. With that, I'd now like to turn it over to Mike Lotz to walk through our financial performance.
Mike Lotz: Okay. Thanks a lot, Brad. Let me do a quick recap on the earnings for the first quarter of fiscal 2021. We reported net income of $14.1 million or $0.39 per share. This compares favorable to the net income of $10.8 million for the same quarter last year or $0.31 per diluted share. As noted in our press release, the primary reason for the increase in earnings from 2021 -- from Q1 2020 to Q1 2021 is due to a combination of $11.3 million pre-tax benefit received through PSP under the CARES Act, offset by the 26% reduction in contract revenue related to reduced flying as a result of COVID and by $5.2 million of deferred revenue. As a reminder, the $5.2 million of deferred revenue is revenue which was billed to and paid by American and United during the quarter and will be recognized over the remaining terms of the respective contracts. We did report $4.8 million of income tax expense for the quarter. However, we do not pay any cash taxes, as we have over $500 million of valuable NOL carry forward. Let me move to cash and liquidity. Cash for the quarter excluding restricted cash increased by $82 million to $181 million. Of the $181 million cash at quarter end, $48 million is the balance of the United CPA prepayment, which was made in November. This was subsequently reduced to zero at the end of January 2021. As previously reported, we did draw on and receive $195 million this quarter as a secured loan under the CARES Act, as a five-year term interest only at LIBOR plus 350 with no prepayment penalty. During the quarter, we also extinguished $164 million of debt related to 44 CRJ aircraft, three 700s and 41, 900s. This debt was amortizing that that were due to mature between January of 2021 and June of 2024. In addition to the $164 million extinguishment, we also paid $25 million in scheduled principal payments. Total debt is $746 million, up slightly from Q4 of 2020. And assuming no new debt, the balance will be reduced by approximately $96 million over the remaining three quarters of fiscal 2021 resulting in fiscal year 2021 total debt -- ending debt with a total amount of $650 million. Principal payments currently scheduled for fiscal year 2022 and fiscal year 2023 are $200 million in total, bringing total debt down to approximately $450 million by fiscal year end 2023. To put this into perspective, $450 million is not too far up from the purchase price of just 20 new regional jets. Also total debt continues to decline from previous levels. A year ago, our debt was $822 million in December of 2019. And in December of 2018, two years ago, it was $892 million. There was $2 million of CapEx in the quarter and our only current plan capital is the acquisition of new engines from GE. We originally ordered 20 engines that are in discussions with them on the timing of deliveries and the total number of engines required, given the new COVID environment, which obviously had changed -- has changed the dynamics with an increase in used engines available in the marketplace. We expect to finance most of the purchase price of any engines delivered. As for daily cash burn, as we have said since the start of COVID back in March, we have been and expect to continue to remain cash neutral or better going forward.  Lastly, on liquidity, we did receive $24 million from the US Treasury in February for PSP2 which covers the four-month period December 1st to March 31st. We expect to receive the balance of $25 million by March 31st. Consistent with PSP1, we will have discussions with all of our partners on temporarily reducing rates through that same period December 1st to March 31st.  Let me touch on guidance. Although the environment is still volatile, we did want to provide guidance in a few areas. Block hours which are fairly straightforward. Obviously, we have much more confidence in the March quarter than we do looking out at June and September. And as Brad mentioned, the March quarter is roughly 70% of pre-COVID levels with June at almost 80%.  For heavy maintenance, which is primarily engine and airframe C-checks. We provided estimates. These amounts are higher than what we would consider normal run rates. Much of this work is a result of deferred C-checks, which we'll be catching up on through the end of the fiscal year.  We have also provided our current estimate for deferred revenue for the remainder of the fiscal year. As you can see the deferred revenue we're projecting to be down to only $200,000 in Q4. In total, we are projecting total deferred revenue of $33 million combined for fiscal '20 and 2021. In fiscal '22 and beyond we should begin to see the reversal of the deferred revenue.  I'd like to now turn it back over to Jonathan. 
Jonathan Ornstein: Thank you, Mike and thank you, Brad. Just a quick word. I'd like to thank both of you guys doing a wonderful job. Brad on the American side and Mike, helping -- the job you did putting these financial transactions together has been fabulous. And I want you to know how much it's appreciated.  Let's face it. It's been a tough year for the industry. We are more than pleased that Mesa has weathered the storm as well as it has. I think this has been a large part of the result of the operational performance we are achieving our industry-leading economics. And again, I can't say enough about the support that we received from our people in the field.  I believe that with this strong foundation in place as being well capitalized as we are now. Our costs remaining low, we will continue to seek and achieve new opportunities as the industry continues to evolve.  With that I would like to open up for any questions any of you may have. 
Operator: [Operator Instructions] Our first question will come from Savi Syth with Raymond James. Your line is now open.
Savi Syth: Hey, good afternoon, everyone. Just on the PSP, I was kind of curious with the -- it seems like the benefit was recorded in the December quarter and I'm guessing the remaining $38 million will be reflected in the March quarter. Should we expect some of the December quarter rate reductions to show up in the March quarter? And how should we kind of think about from that perspective just kind of the puts and takes as we think about the quarter this year for fiscal year 2021? 
Mike Lotz: Yes. So for -- Savi, this is Mike. For PSP2, the roughly $49 million we haven't booked any of rate reductions related to December. So any rate reductions we do relative to PSP2 will all be recorded in the March quarter as will the -- obviously the full cash impact as we're receiving that in Q2 as well. 
Savi Syth: Got it. And then just on the American contract, I think when you updated in December about kind of the five additional aircraft flying, I think it was considered short-term possibly going longer. Has there been any kind of solidifying of how long those extra five aircraft will be flying? So like how long it will stay at 45? I know you have in the guidance it's kind of going out through the current fiscal year, but I'm just wondering just how flexible it is for American to adjust that number? 
Jonathan Ornstein : Brad, go ahead. 
Brad Rich: Okay. I'll be happy to take that one. First of all, Savi, our guidance in the projected block hour production includes those aircraft in the estimates through May. And at this point, that's where we -- that's what we have discussed with American. And look then we just assumed and count on the quality of the operation, doing a really good job, certainly where our costs are for that operation. Look our focus is just on doing a good job with what they've asked us to do so far, which is through May and hopes that it will lead to more opportunities.
Savi Syth: Helpful. Thanks. I’ll get back in the queue. Thank you.
Operator: Our next question will come from Joseph DeNardi with Stifel. Your line is now open.
Joseph DeNardi: Thanks. Good afternoon. Jonathan, you mentioned that the market is consolidating. I'm wondering if you could just talk about that a little more. What, sort of, opportunities does that create for you? Maybe what did you mean by that? Does it create opportunities? What's the timing on realizing some of them? And are the conversations still preliminary at this point or more substantive? Thank you.
Jonathan Ornstein: Yes. No problem. I really was talking about a trend that we've seen, and I think to some degree sped up as a result of the pandemic. We've seen three, four, five carriers that have been ultimately liquidated. There's been some consolidation. I think the major airlines have moved in the direction of a few strong partners rather than eight, nine, 10. And I think Mesa is positioned now to be one of those potentially three or four that will survive that shakeout. And I think that we're also positioned if there are opportunities whether it'd be through a merger or an acquisition or increasing the fleet, we now have the financial wherewithal to do that. And so I think we're talking more about a basic trend. When we joined RAA back in 1989, my first RAA meeting there were 113 airlines, regional airline members. I think we're now down to 13. So the trend has been pretty strong and I just sense that it will continue and that Mesa is positioned well to take advantage of that future consolidation.
Joseph DeNardi: In a scenario where it consolidates down to that level, how many aircraft would Mesa be in a position to operate roughly relative to what you fly now?
Jonathan Ornstein: Yes. Well, in the past the constraint that slowed everyone down frankly was pilots and pilot shortage that had been induced by the 1,500-hour rule. That has not been an issue. I recently saw some numbers where there's a number of carriers that have over 1,000 pilots in their queue to be hired and I know we have in the hundreds at this point. So I think that our ability to grow right now whether it's organically or through potential acquisition, I think is -- I'm not going to say unlimited but I think it would be easy to see that we could add one, 1.5 aircraft a month without any problem over the next few years just by organically growing and then potentially more so if we were to do some type of acquisition. And again I think that it's also being driven by our partners who have said do we really want to manage 10 different partners? And you've seen for example United some consolidation there and the number of parties that they're doing business with.
Joseph DeNardi: Thank you.
Operator: Our next question will come from Mike Linenberg with Deutsche Bank. Your line is now open.
Mike Linenberg: Hey, good afternoon, everyone. Hey, Mike I just -- I want to go over the cash numbers with you. You ended the quarter on a very high note $181 million. And then you indicated that you did pay off the United -- the rest of the United that prepayment with the $48 million. And then, obviously, you're getting some money that you got, I guess, in February and you're getting something in March as it relates to the PSP2, so another $49 million there. And then I think you mentioned something about $25 million of principal payments. So the pluses and minuses, it does feel like that you're going to end the March quarter with still a pretty good cash position. I don't know if it's $140 million, $150 million, $160 million getting a feel that you've been breakeven from a cash burn basis. Is that -- am I in the ballpark there? Or am I too aggressive on your March Q cash position?
Mike Lotz: Yes. So look we ended at $180 million. And of that, roughly $50 million of it was United. So that would bring us down to $130 million. And then, from there this PSP2 money that received, that all doesn't just drop down to the bottom line. We do talk to all of our partners about temporary rate reductions during the same period. And when you're applying half of the schedule then there's a different level of concession as opposed to when you're flying it at 70%, 80%. Well, so I'd just leave you with that.
Mike Linenberg: Okay. No that's helpful. That actually that is helpful. My second question, just to Brad the CRJ-900s that have come out of American, I think you talked about several new opportunities. I was someone intrigued by that. I mean that's a very unique airplane and I don't think there's anybody out there who can fly it at a lower cost than you guys. It's a lot of seats. And so, I wasn't sure, would this be Mesa operating on behalf of another carrier? Or would this be like a sublease opportunity maybe where you're leasing the airplanes offshore to another carrier just -- and collecting rental income? Any color on that would be great. Thanks Brad.
Brad Rich: I'll give just a couple of quick thoughts. First of all, I think you hit on what I think is the most important point, which is our ability to operate good quality, high quality, high reliability operations at a really attractive total economics is the key to this -- to keeping these airplanes flying. And so, look, there are some very specific opportunities, that we are pursuing and reviewing at this time. And then -- and then in the meantime, we'll use the additional airplanes to support the American operation and the reliability there is really critically important to us as well. So, in any event, these airplanes we think will be put to good use.
Mike Linenberg: Great. Thanks Brad. Thanks everyone.
Brad Rich: Thanks Mike.
Operator: Our next question will come from Helane Becker from Cowen. Your line is now open.
Helane Becker: Thanks very much operator. Hi everybody. Thank you very much for the time. I just have a couple of questions. So the first question I have is that, you had mentioned there was incremental flying for American in the first half of this year, is that playing out the way you hoped it would be? Just following up on the AA question.
Jonathan Ornstein: Well, I'll take -- I'd like to say one thing real quickly about that is, I would say that the incremental flying as well as the baseline has worked out far better than we anticipated. In the middle of the pandemic, with traffic down literally 90%, the fact that we were able to renew 42 aircraft and then for American to come back to us and add five more and we're in discussions with them on additional opportunities, I think it's truly -- is amazing and beyond our expectations on it. Again, I want to thank Brad for his role in putting that together. Brad, do you want to add anything for that?
Brad Rich: Jonathan, I think you said it very well. I don't really have much more to add.
Jonathan Ornstein: Okay.
Helane Becker: Great. Thanks, Jonathan. Thanks Brad. My other question is on cargo contracts. So, you're doing -- what did you say Brad two 400s I think. Do you -- I assume since Jonathan said, you could add one to 1.5 aircraft a month. I'm hoping that that includes cargo. What does that runway look like right now? For obvious reasons, there's so much e-commerce, blah, blah, blah. How is that shaping out?
Jonathan Ornstein: Yes, this is Jonathan. We think that the cargo opportunity is significant for us going forward. They don't order 40 airplanes at a clip like the way the majors used to. So, I think we'd be looking at that. In cargo, if we could add an aircraft every other month, we'd probably be very happy. I don't think it's going to happen overnight. We have to prove ourselves, so far so good. The good news is too is that DHL we have a lot of contacts and with their senior management through our new Board member, Dan McHugh, who is the former CEO of Southern. So, I think that there's a big opportunity for us there and it's just a question of us being able to manage all the different pieces of those businesses successfully. And as Brad said, clearly our operational performance is critical. And on the other side of it, which is sort of Mike's job has been keeping the cost where they need to be. And I forgot to mention -- I mentioned Brian Gillman, who is our lawyer who is stuck always having to deal with putting all this together and may be the hardest part of all these transactions. And I think between us we've developed a good team that we can pursue these opportunities equally and aggressively.
Helane Becker: Thanks Jonathan. That’s very helpful.
Mike Lotz: Let me just add one thing too, Jonathan. On the cargo opportunities, they're beyond just DHL too, right? There may be other cargo opportunities that present themselves to us. And importantly, it's a lot easier to present yourself as a cargo operator as opposed to wanting to become a cargo operator. I mean we are a cargo operator now. So, I think that helps us position ourselves in the market much better as well. Go ahead Helane.
Helane Becker: That’s great. Okay. Thanks guys. Have a nice afternoon.
Jonathan Ornstein: Thank you.
Operator: Thank you. Our next question will come from Joseph DeNardi from Stifel. Your line is now open.
Joseph DeNardi: Thanks. Just a quick follow-up. Jonathan you mentioned earlier M&A a few times. I'm wondering if you could just maybe talk about it. I would take from your comments that maybe you have the blessing of your partners to consolidate. I'm wondering how you frame kind of where you're willing to take leverage or how you would finance that. And maybe how seriously you're evaluating that opportunity? Thank you.
Jonathan Ornstein: Yes. The partners always have the ability in these contracts effectively to veto a deal by not passing along the codeshare agreement. So, anything you do you have to do it in cooperation with your partner. Again, my remarks were more general than specific. I mean clearly we've looked at opportunities from time-to-time. We continue to look at opportunities. But one of the areas that is potentially interesting to us outside of sort of our traditional business is potentially to acquire -- to grow our cargo business through acquisition. The other thing that we've looked at is then just staying at the forefront of technology I think is important too going forward. So, there are a number of areas that we think there may be merger and acquisition investment just things that -- to help diversify our business on one hand and at the same time, potentially strengthen our business with our partners through this consolidation process. So, again, I think it's more general in a sense of direction than specific at this time, but Mesa has always been pretty opportunistic. Some folks who go back with us Helane and Mike Linenberg know that we used to be called the deal a year company. We haven't done a deal in a long time but I think that it is these kinds of situations where opportunities do exist.
Joseph DeNardi: Got it. Thank you.
Operator: And our next question will come from Savi Syth with Raymond James. Your line is now open.
Savi Syth: Just a couple of quick ones. Just on the December quarter I was just kind of curious versus plan how did the quarter turn out? Was just PSP, the only kind of variable versus kind of the budget or the way you were thinking about the quarter or how did the quarter progress? I'm curious.
Mike Lotz: Yes, there was no surprises for the quarter. It was pretty much as we had projected.
Savi Syth: Okay. And actually along those lines Mike, so just trying to follow-up on the cash question that Mike had earlier. Should we think about kind of ex-PSP still cash flow positive for the year based on kind of current levels of flying?
Mike Lotz: Well, when we talk about cash flow neutral or better, it includes any PSP money that we would receive.
Savi Syth: Yes. But like going forward is that like even without the PSP in the past and I know not all of that falls through are you in kind of cash generation territory?
Mike Lotz: Yes. Yes we are.
Savi Syth: Makes sense. And then like--
Jonathan Ornstein: And if I could Savi I'll just add. I mean this has been a source of what seems to be some level of confusion with all of us including myself. But you have to remember on the PSP, I mean the alternative which if we had to and obviously we've been delighted to avoid it, we can furlough people and downsize the operation to fit the number of aircraft we're flying. Thankfully the government has chosen to give us the opportunity to avoid that by making those payments. But I think it should be clear that there would be -- if there was no PSP and we were flying it 50% of our flying, we would go back to our pilots, go back to our mechanics, go back to our fly attendants and sort of structure the same deal that we did when we didn't think there was a PSP and able to structure some of that work. And just to mention, I mean, there was a period of time when we did not have the PSP for a couple of months and we did structure those deals and the company was cash flow positive.
Savi Syth: That's good color. I appreciate that. And then just one last question on the cargo. Is it -- the thinking still that's close to breakeven here with two aircrafts and really to, kind of, get the earnings higher there you just need more scale?
Jonathan Ornstein: Mike, do you want to answer that?
Mike Lotz: Yes. No that's a fair assessment Savi. We've said that our goal was not to have a two aircraft operation, obviously, spreading the cost over just two aircraft is not nearly as economically feasible as 10, 12 aircrafts. So, yes, as we grow they will certainly become more profitable. And they are -- like we said, they're contributing some but not much given the start-up.
Savi Syth: Make sense, all right. Thanks.
Operator: And our next question will be from Mike Linenberg from Deutsche Bank. Your line is now open.
Mike Linenberg: Hey, Jonathan, if you could just kind of indulge me in a plain spotter question here. I just -- I wanted to know if there was any accuracy to the fact that you did take delivery of the 737-800 freighter? I'm just -- I saw it was in the blogs a few weeks back and I just wasn't sure if there was any sort of accuracy around that but -- 
Jonathan Ornstein: Yes. No, Mike it's really funny that you mentioned it because my DHL contact, our DHL contact sent that to me too. And he said is this true or is this a mistake? And at first I wasn't sure if that -- because they had the LR serial, which is why we name our planes after Larry. But I can tell you that after doing a little checking it was not our aircraft. And we don't have any intentions on 800s at least not in the near-term. Although I will say, I think that's the direction things are going in terms of the freighter business is that I wouldn't be surprised if the next aircraft that we did put on certificate would be a 737-800.
Mike Linenberg: Okay. Very good, Jonathan. Great. Thanks.
Operator: And I'm currently showing that that was our last question.
Jonathan Ornstein: Okay. Well, operator, thank you very much and thank you all for your continued interest and support of Mesa. We're working hard through, obviously, this tough time to provide as much opportunity for the company as possible. We're all significant shareholders. We'd love to see our share price improve. We think that the company has lots of opportunity. We've strengthened the management team in a number of areas to help take advantage of that. I think again the support that we receive from our partners has been nothing short of outstanding given the environment that they deal with every day. Both American and United have been incredibly supportive. And lastly I think again I can't tell you enough how strongly I feel about the relationship that we've developed with our people in the field. I also want to thank all of our shareholders and everyone else that's been patient with us. I mean there's nothing we'd rather do than see them also benefit from all this work. And we hope that as we go forward in 2021 and things begin to improve that we can see some improvement there as well. So again as always thank you. And if you have any additional questions feel free to call myself, Mike or Brad directly. Have a great day, and we'll talk to you next quarter. Thank you.
Operator: This concludes today's conference. All participants may disconnect at this time. Thank you for your participation on today's call.